Operator: Good morning, and thank you for waiting. We would like to welcome everyone to Ambev's Fourth Quarter 2021 Results Conference Call. Today with us, we have Mr. Jean Jereissati, CEO for Ambev; and Mr. Lucas Lira, CFO and Investor Relations Officer. As a reminder: A slide presentation is available for downloading on our website, ri.ambev.com.br; as well as through the webcast link of this call. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the Company's presentation. After Ambev's remarks are completed, there will be a question-and-answer session. At that time further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and then information currently available to the Company. They involve risks, uncertainties and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that we will be discussing during today's call are both organic and normalized in nature; and unless otherwise stated, percentage changes refer to comparison with fourth quarter results. Normalized figures refers to performance measures before exceptional items which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures are non-GAAP measures, the Company discloses the consolidated profits, EPS, EBIT and EBITDA on a fully reported basis in the earnings release. Now I will turn the conference over to Mr. Jean Jereissati, CEO for Ambev. Mr. Jereissati, you may begin your conference.
Jean Jereissati: Good morning, good afternoon, everyone. Thanks for joining our Q4 and full-year 2021 earnings call. 2021 is now history, but it definitely left its mark. We had an all-time high engagement of our team, which once again rose to the occasion and remain steadfast in transforming this company to a new chapter. We kept a very high reputation as we continue to focus on having a positive impact in society and growing together with our ecosystem. We have reached our record topline performance with yearly volumes at a whole new level, 180 million hectoliters that's 15 million hectoliters of new volume on top of 2020, and pretty much all the industry growth in the period. Our normalized EBITDA went back to double-digit growth and above pre-pandemic levels, despite unprecedented cost headwinds. And we had free cash flow growing ahead of normalized EBITDA, improving our ROIC while investing heavily in the future. I want to deeply thank my entire team for this amazing year. Now let's talk about Q4. Our main objectives in the quarter were to consolidate our new volume levels. And here, we grew volumes in the quarter, improving our rolling 12 months performance and to position ourselves to start 2022 structurally better than we begun 2021. We accelerated our net revenue per hectoliter growth, reaching 15.2%, which leave us in a good place to start the year. Breaking it down by region. In Brazil Beer, our volumes in the quarter declined 3%, amid a high single-digit industry decline according to our estimates. Therefore, we sustained market share gains, and we led in 2021, both volume share and value share growth. In fact, this was the second year in a row in which we outperformed a growing industry, adding 4.5 million hectoliters in 2020 and 6 million hectoliters in 2021. In the quarter, net revenue per hectoliter grew 9%, and we expect to improve this performance in 2022. In Brazil NAB, volumes grew by almost 2%, and net revenue per hectoliter grew nearly 12%, thanks to better packaging and premium mix. We estimate we gained market share in the quarter, benefiting from a better visibility and improved distribution with BEES, closing the year with all-time high buyers in history. Our international operations continued to rebound consistently. Latin America South was our major growth engine with volumes growing almost 9% and net revenue per hectoliter about 31%. We had a solid performance in Central America in the Caribbean. Volumes grew by 2.5% and net revenue per hectoliter grew by 16%, thanks to our premium and core plus brands that are gaining mixed weight. Canada, we grew approximately 4% in both volumes and net revenue per hectoliter, an easy comp given Q4 2020, combined with market share gains, led by Corona and Michelob Ultra. On top of that, we are structurally better positioned to start 2022. Our portfolio is stronger and healthier. For example, in Brazil, Brahma Duplo Malte and Brahma were first and second in brand equity improvement among all brands in the market. And we are starting this year with 1.6 million more consumers that states that love one of our brands. Also, I would like to highlight the performance of Corona, that is the leading premium brand in Central America and the Caribbean, in Canada, in Chile, in Argentina and grew 44% in volumes in Brazil. Innovation is working. We tested more than 65 new products throughout the year, including beer and non-beer products. There is an avenue of growth in health and wellness with Stella Gluten Free and Michelob Ultra. Our core plus segment already represents 10% of our Brazil volumes. After the successful launch of Brahma Duplo Malte, Spaten has had a very good traction in Brazil. This segment represents an enormous opportunity in all countries, with Andes Origen leading in Argentina, Cusquena doing very well in Chile and Skol surprising us in Paraguay. We are going beyond beer. Beyond beer is already an important profitable growth driver in more mature markets like Canada, where we have the Mike's in neutral franchises leading the way. And in 2021 to be ahead of the curve in our other markets, we strength our beyond beer capabilities. We created a new business unit to bring focus and consistencies to our strategy towards exciting new alcoholic beverages categories such as ready-to-drink, canned cocktails and seltzers. In Brazil, we have the BEES franchise broadening its portfolio, and we will continue to expand Mike's after a successful pilot in 2021. DTC initiatives have steps changed. This is especially true for Zé Delivery in Brazil, not only in terms of geographic reach, but also scale and assortment. In 2021, Zé reached 300 cities, delivered 61 million orders. And we begin 2022 with 4 million monthly active users. And BEES is revolutionizing how we connect with clients in Dominican Republic and in Brazil, where more than 85% of our customers are already ordering online and of which more than 80% make majority of their purchases through the BEES app. Also, our offering of non-Ambev products on the platform reached a 1.4 billion annualized GMV in 2021 in total Ambev, and this is just the beginning. In 2021, we kicked off the expansion of BEES Software-as-a-Service capability with the agreement with BRF in Brazil, and we are speeding up this implementation in Argentina, Paraguay and Panama. At this time of the year, last year, everyone was worried about the impacts from the pandemic, the reduction in government stimulus, the cost pressures given FX devaluation and commodity increases. After 12 months, the results were: our volumes were up 9%, net revenues up 24% and EBITDA growing 11%. We believe we adapted quickly in 2021, and we invested ahead to continue to lead in 2022. A lot has changed in the past year. In 2022, we will remain alert, attentive and not let down our guard because COVID is still among us, we are going to see a lot of industry volatility, given consumer inflation, pressuring disposable income on the one side, but we are going to also see [World Cup] during the summer on the other side, cost pressures given unprecedented commodity inflation. In Brazil Beer, cash COGS per hectoliter is expected to increase between 16% and 19%. And despite all that, we would deliver consolidated organic EBITDA growth in 2022, ahead of our 2021 performance with Brazil back to growth. We are structurally better prepared. We have a plan, and our team is already working on it. To finish, I would like once again to thank all of our people for the great 2021 and for this amazing transformation journey we have been going through. Thank you all. See you in May, and now is over to you, Lucas.
Lucas Lira: Thank you, Jean, and hello, everyone. Let's start with the numbers. Net revenue grew 16% in Q4 and nearly 24% for the full-year. EBITDA declined about 2% in the quarter, but grew almost 11% in 2021, which is well above 2019 levels, even if you exclude the impact of one-off tax credits in Brazil. Normalized profit declined about 45% in Q4 due to tax credits one-offs in Brazil, but increased over 11% in the full-year. And operational cash flow increased over 40% in the quarter, finishing the year more than 21% above 2020. What's more, our consistent improvement on the operational side also translated into better performance when it comes to our value-creation agenda, with return on invested capital, economic profit and free cash flow all back to growth, and all this while, first, continuing to invest behind our business transformation and future growth, with CapEx for the year totaling BRL7.7 billion, which is nearly 64% above 2020 levels, and sales and marketing growing 15% to support our portfolio strategy and innovation pipeline. And second, returning excess cash to shareholders with a total payout of BRL9.5 billion in the form of dividends and IOC in the year, which was about 23% above 2020. And in terms of sustainability, 2021 was another year of consistent and continuous improvement, and we remain on track to deliver our goals by 2025. For instance, we announced the first carbon-neutral large brewery and malt plant in Brazil, and we also reached 100% renewable energy for our breweries in Panama, the Dominican Republic and Guatemala. We advanced several initiatives to decarbonize our value chain operations related to Scope 3, and we continued to dream big. We announced our ambition to achieve net zero for operations by 2030 and for our value chain by 2040. All-in-all, we delivered the consistent improvement in performance we have been so vocal about since 2020. And now that we are pretty much back to pre-pandemic levels on the bottom line, and with 2021 behind us, we must look ahead. So let's focus on 2022. First, what doesn't change? One, topline growth will remain a key priority and a key performance driver. Two, input cost pressure, unfortunately, remains a headwind; and three, our focus on value-creation drivers such as return on invested capital, economic profit and free cash flow generation remain. Now what should be different in 2022? One, our net revenue performance should be more driven by net revenue per hectoliter than volumes as we adapt to a higher inflationary environment; two, cost headwinds will come mostly from commodity inflation rather than FX, but at a lower growth rate than in 2021; three, SG&A growth should improve, which was heavily impacted by variable compensation accruals; and four, the tax credit one-offs in Brazil that positively impacted our EBITDA, financial results and effective tax rate over the last two years should no longer impact our performance in a material way. Let me give a bit more color on our COGS outlook in Brazil Beer, which we are giving specific guidance. We expect Brazil Beer cash COGS per hectoliter to grow between 16% to 19% for the full-year. This number assumes commodity prices remain at their current levels and does not include the per hectoliter impact on the sale of non-Ambev products on our BEES marketplace, such as milk, vegetable oil, rice, condensed milk and chewing gum. Given BEES marketplace growth trend in 2021 and our plan going forward in countries like Brazil and the Dominican Republic, starting in Q1 2022 earnings results, we will report our net revenue per hectoliter, our COGS per hectoliter and our cash COGS per hectoliter performance, excluding the impact of these non-Ambev products sold under BEES marketplace. This is intended to provide more transparency to the market on this important growth driver as well avoid distorting the performance of the underlying beer results. When we bring it all together, what this means is that we will work to deliver better EBITDA growth in 2022 than the 11% growth we delivered in 2021, despite a tougher Q1, despite volatility by quarter and despite the cost headwinds I mentioned. Turning to our financial priorities. We will focus on optimizing our business through three things. First, improving our financial discipline with a focus on liquidity as well as our typical cost and expense management initiatives, while reinvesting for growth organically and non-organically; second, further our value creation agenda with a focus on improving our return on invested capital, economic profit growth and free cash flow growth; and third, return excess cash to shareholders over time. Regarding value creation, we will continue to look beyond margin ratios and also focus on return ratios. Margins remain extremely important, but when it comes to creating value in a sustainable way in the long-term, asset turnover is another important lever, and we see room for improvement here. As for instance, our tech platforms continue to expand. And yes, 2021 was still a tough year on the margin side. But on the return side, we managed to break the downward cycle we were on for a while. In 2022, the challenge is to build momentum on top of what we accomplished last year. So to wrap up, following good recovery last year, 2022 brings well-known challenges, but also several opportunities we've been investing behind since 2020. We believe we are better prepared, and we will have to deliver once again the continuous and consistent improvement as we transform this company. Thank you, and now let's move to Q&A.
Operator: Thank you. We will now start the Q&A session for analysts and investors. [Operator Instructions] Our first question comes from Marcella Recchia, Credit Suisse.
Marcella Recchia: Hi, Jean. Hi, Lucas. Thank you for taking my question. I have two questions here. First one is if you could give us a little bit more of color on the main components behind the guidance for the EBITDA growth acceleration to above around 11% levels in 2021? And the second question is if you have any assessment of elasticity impact on price increase on volumes. So far and going forward, right, we have seen that the industry is highly focused on pricing to manage cost headwinds, and I think that is also the case for you guys. So how you are seeing that impact in terms of elasticity? Thank you very much.
Jean Jereissati: Hi, Marcella. Thank you very much for the question. Let me get the EBITDA drivers growth first. Overall, talking about, first, about net revenue per hectoliter. I think most of the price is already done. So we entered in 2022 with a good carryover, and we are very confident on improving mix during the year because I think that some trends are in our favor as the on-trade reopening, as the 600 ml bottles are gaining traction. This would help us. Innovation on the core plus and the premium is really working. So that part, we are confident. We mentioned that our – in Brazil, our cash COGS would be in between 16% and 19%. That is better than last year that it was in the low-20s. And sales and marketing should be below inflation with administrative really going [indiscernible]. Okay, so I think there is – so with this balance, we believe that we can accelerate EBITDA. Of course, the volumes in the industry are, I think, the most tricky part. We are starting with a very good market share in key countries. So this helps on one hand. We had Omicron impact in January, but somehow, on the other hand, looks like we're going to have two half carnivals, one now, one in April. We're going to have a World Cup in the summer that we never had. There's always impacts. It's a big occasion for the Brazilian market. So that's where lands a little bit more of the doubt. But we are very confident that we are with a better portfolio, structurally better, brand active going up and great innovation working in the market, okay. So this is the first one. The second about elasticity. So what we are seeing is really that when we think about segments, that the value segment is the one that suffered the most, okay. What we saw during the past, the last year, it was. So our core plus is something that is a structural change that help and brings new news, new recipes for consumers. So this is – so it's an important piece of the market that it's going beyond any historical of elasticity. Premium is solid. And our core with the returnability strategy rebounded to grow. So it's really been resilient. So I think talking about segments, what's really been more impacted overall is the value segment and the brands that does not have equity. So from our side, we have momentum on mainstream, on core plus and in high end. So we are excited about our portfolio in general.
Marcella Recchia: Perfect. Thank you very much.
Operator: Our next question comes from Sergio Matsumoto, Citigroup.
Sergio Matsumoto: Yes. Hi. Good morning, Jean and Lucas. Thank you for taking my question. I want to ask about the revolution in logistics to urban distribution centers. You commented on this in the last couple of quarters. And we understand that you're building it out in Sao Paulo and other parts of Brazil and also transitioning clients into BEES for the ordering, and 85% already there. So two questions on this. The first is, Jean, where do you think you are in this whole process? Because it's – revolution is a big word, and I'm sure it's a long, involved process. So what do you think? Do you think you just started it? Or do you think you're about a halfway through? Or like if you can give us some color there? And the second is, if you could frame the benefits in terms of topline growth benefits and any cost savings that you might expect by transitioning to this new process. And if that – if those cost savings, if any, if we're going to see them? Or would you be investing them back into the market? Thanks.
Jean Jereissati: Okay. Thank you for the question, Sergio. Yes, so last call, we talked a lot about it. It's an important piece of – in our transformation journey. Just for you to have in mind. So what we are talking that the major piece, it is that ambidextrous warehouses that they work for direct-to-consumer initiatives, and they work for B2B initiatives together, okay? So I think this is something that there is a game changer in terms of getting it right and really being efficient. So we have the urban centers. And around – we have already something around 40 new urban warehouses that can manage consumer and customer in the same platform. What is great about it is that our DTC initiatives, you have 80% of the volumes that goes –that comes – that orders comes on Friday night, Saturdays and Sundays. And the B2B is something that is more planned and its more weekdays. So it's highly complementary, the initiative. That will help us a lot to build this capability, to reach consumers and build this capability to aggregate much more products that we have today that goes beyond our portfolio. That helps our innovation, but really accommodates some partnership that we are doing with other industries, okay. So this is really about capabilities at this moment. So – it is something that we are just starting. So the part of the question where we are is just the beginning. And for now, so the DTC is really getting more positive. So everybody comments and asks about the DTC last mile, and this is really a piece that will make the last mile of DTC accretive to us at some point in time. For now, we are really ramping up, and we are just starting.
Sergio Matsumoto: And for the benefits, Jean?
Jean Jereissati: So the phase that we are today is really about expansion, okay. So this is really to get the DTC more efficient. We know that Zé Delivery is not in the same level of margins that we have in the company. So it's like to mitigate this growth and to get the DTC at some point in time with the same margins that we have in the company. So it mitigates the growth of DTC for now. It gets DTC accretive at some point in time.
Sergio Matsumoto: Yes. I guess what I meant to ask you is on the B2B part. There is a change in the way the customers orders, and there's probably a sales uplift and some sort of cost savings, perhaps fewer salespeople needed, less frequency and visiting the clients, if you can frame those, that would be great.
Jean Jereissati: Okay. So it's a little bit disconnected. So delivery and order taking, okay. So that's why I'm talking pretty much about the warehouses and the supply chain, talking about on a broader perspective. So what we are seeing is that clients, customers can be much more organized with this. They can elect, they can plan themselves where to receive. So they are paying additional money to have more days in terms of frequency. We are much more efficient on discount optimization and management because of our data. So this piece is really – this is really accretive on this discount management and organizing the logistics. And it will be added. It's marginal to really – with all this platform to really have the partners in the same truck that we are delivering beer, okay. So somehow it's very good for the base business. The base business gets efficient. But then when we aggregate the other products, when we aggregate the marketplace products, it's really something that we are talking more about growth of this piece of the equation that we are there. So we mentioned that assortment that is non-Ambev. In BEES reached 1.4 billion in GMV, okay. So this piece is already – is below the average EBITDA margin of the company is growing. And this piece, it's getting profitable with this logistic approach. The base business – this business is really getting more efficient with all the street comments.
Sergio Matsumoto: Thank you.
Operator: Our next question comes from Alan Alanis, Santander.
Alan Alanis: Thank you, and congratulations for the results. Hi, Lucas. Hi, Jean. I have a couple of questions, one around the balance sheet. And you're sitting on $3 billion of net cash. What's the outlook in terms of dividend payout and potential share buybacks? That will be the first question. The second question is more around the market and the super premium category. You mentioned Corona moving up 44%, very, very strong. Congratulations for that. Heineken mentioned that they were reporting 10% increase in volumes. Could you explain a bit what's going on regarding the super premium category? Why is it so strong again in Brazil? And for the same token, why – or what's the contribution in terms of margin expansion or margin contraction of this super premium category in Brazil, please? Thank you.
Jean Jereissati: I'll get the first one, I'll end in the second. I'll get the second one, first, and then I'll get to Lucas, okay?
Lucas Lira: Okay. Thank you, Jean.
Jean Jereissati: Yes. So we mentioned at some point in time that our long-term view for the high-end portfolio that we have in Brazil, it was mainly to have brand equity ahead of volumes, okay? So ahead of market share, build brands, build the desire, connect with consumers. And we have been doing this for a while, and it was a very successful strategy that we have, best year, somehow four major brands of our high-end portfolio, really got power brand equity up, okay? So Corona is doing very well. Stella is doing very. Beck on the brand equity side is doing very well. And we are beginning to see demand to those brands. So we are seeing Corona, it was a 44% up. We see Beck's with 59% up, too. Stella is doing okay. Original, our domestic brand was 35% up. And this is a major use of our strategy to improve margins moving forward. These products, they are 150 on average price of the market, and they are accretive in terms of margins. But our main strategy is still to see to have brand equity ahead of market share. For example, Corona has 3x the brand power that it has in terms of market share. So there is a lot of spaces to that on consumer pull on that is an important piece of our equation. We add to that the innovation, the core, plus there is another part that will bring the creativeness for us in our portfolio.
Lucas Lira: Okay. Hi, Alan, thank you for the question. A few points here. In terms of use of cash, the framework, the mindset continues to be the same as the one we've had over the years. Meaning, number one, we want to reinvest in growth opportunities. And over the last few years, I think we've found very attractive organic growth opportunities, either in our base business or in these new business ventures that we've been investing behind leveraging technology. So plenty of opportunity to reinvest the strong cash flow generation to generate more growth, number one. Number two, non-organic growth opportunities. We're always looking at interesting opportunities, again, in the base business, in markets where there are still white spaces or in these new business models, new ventures opportunities to enhance our capabilities, to drive the expansion of these ventures going forward, okay? That's priority number one, reinvest in future growth. And then we will continue to return excess cash to shareholders over time as we have been over the course of the last few years, right. Just to give a bit more color on this. If you take 2019, 2020 and 2021, right, what we ended up doing was we had – if you look at the fiscal year, right, total payout, we had roughly BRL7.7 billion of payout between dividends and IOC in 2019 and 2020, right, reminding that 2020, right, there was a very tough year, but we managed to keep the payout at the same level. And as the business performance and the financial performance bounced back in 2021, we managed to increase the payout, and we ended up making the largest payout, I believe, since 2016, it was the third largest total payout in history, growing 23% versus 2019, while profit grew roughly 8%. So the way we continue to think about this is as the business improves and after we've reinvested for growth, we will continue to look to return excess cash to shareholders and improve the payout over time. The way to return excess cash to shareholders will remain very much focused around maximizing the IOC as we have in the past, supplemented by dividends. And from time-to-time, we will look at buyback programs, but that's a discussion that we have with the Board from time-to-time. For now, the decision remains to prioritize IOC and dividends. And this is a conversation more towards the end of the year for us.
Alan Alanis: Thank you so much, Lucas. That's very useful. Congratulations again.
Lucas Lira: Thank you.
Operator: Our next question comes from Lucas Ferreira, JPMorgan.
Lucas Ferreira: Hi, guys. Thanks for taking the questions. So additional clarification that on the guidance, if possible. Just wanted to understand how much you think you could outperform the market this year. So in other words, how much you see the Brazilian beer market growing in 2022? And just have to have a view about this growth, if you think it's going to be a bit more backloaded into the year. Since your volumes declined in the fourth quarter, if you can give us a sense of how the year is starting. So how should we think about reconciled at the beginning of the year with your full-year guidance? And the second question around the same thing here, if you can give us a sense of how relevant both BEES and [indiscernible] for you guys to believe that these results in 2022. So if not mistaken, this marketplace is already growing like probably 40% from the last number you gave us in the third quarter. So just wondering if you can explain to us a little bit how BEES and Ze Delivery contribute to this outperformance in 2022? Thank you.
Jean Jereissati: Okay. Let me get this one. Lucas, thank you for the question. So thinking about – I think we talked about the lines. I think that the trickiest one is really the volume, right? So that we mentioned. We are confident because we are starting with a good carryover in net revenue per hectoliter and we're starting with a very good position in terms of market share, a solid with returnable performance really going up. So we are confident that we are structurally better to address the year and starting the year with a market share much above that we started the previous year, okay? So that's how we think that we are structurally better and starting the year.  So having said that, we had the Omicron impact in the beginning of the year. Last year, the kind of was already some weak in what we are seeing. So we have seen a recovery in February, but somehow looks like we want to have like half carnival is just a holiday and then we're going to have another one in April because Rio de Janeiro and Sao Paulo already mentioned that they will have some activities on. And then we have all the reopening and then we have elections and World Cap, so somehow I think that’s the most tricky part, so it’s really something that we have to be attentive, disciplined, agile and flexible to address the industry overall. I think that’s the most I can mention to you and let see – no crystal ball on that. There is plus and minus that we have to address. We are starting in a good position. Having said that, this is really about growth. So this really helps the base business overall, okay. So, but when we talk about the other assortment is really about growth. So we are building growth, Zé Delivery, we are more sizable already now, and we begin to see efficient is coming, as we get the last mile, more efficient overall. So we are more and more doing two deliveries in the same motorcycle. So we are more and more getting efficient on revenue management on that piece. So we see that more sizable in really getting more efficient. And this is really the other piece is really about growth, okay. So I think that's the most I can mention. That's pretty much it.
Lucas Ferreira: Thank you, Jean.
Operator: Our next question comes from [indiscernible] BTG.
Unidentified Analyst: Hello, Jean. Hello, Lucas. My question is on the cost outlook for 2022. The cost per hectoliter in Brazil should grow the 16% to 19% you mentioned in Brazil Beer and that is now mostly coming from commodity pressures rather than the FX as it was in the past. So if you could just provide some additional color on how that could also apply to your other business units – and also how the outlook for revenues grow by higher revenue per hectoliter rather than volumes may relate to that in terms of potential price hikes that you see during the year? Thank you.
Lucas Lira: Yes. Thank you for the question [indiscernible]. Our outlook for cash COGS per hectoliter, right, is in terms of the guidance is really focused on Brazil beer. We're not providing any guidance with respect to the other business units. However, when we look at the commodity inflation, right, no business unit of ours is immune to it, okay. And as we have the hedging policy in place, right, rolling 12 months forward, you can get a sense of the impact that commodity inflation, right, can have across our other business units, okay. But just given the importance of the Brazil beer business to the overall performance of the company, we wanted to provide this additional level of detail so the market can have a better sense of what to expect in the year, okay. And could you repeat the second part of your question on the net revenue per hectoliter, please?
Unidentified Analyst: Yes. Sure. It was if the goal of or at least the outlook of growing revenues mainly by higher realized prices, if that implies that you see, in the end, a better environment for price, best tools, and now mainly overseas, you mentioned before that some of the price hikes should come from better mix and you have already a positive carryover. But just thinking if should also expect higher price hike, then you should see a positive environment for that overseas?
Lucas Lira: Okay. So outside Brazil, I think one of the key drivers of our net revenue per hectoliter performance has been premiumization, okay, number one. So and that is true, not only, only for core plus volumes in markets like Argentina in markets like, many markets in the Caribbean, the Dominican Republic, Panama, and also Canada, okay. And this is also true for our premium brands across these markets. So I think both in 2020 and 2021, we really saw this momentum building around above core, core plus and premium volumes increasing the mix. And that has helped us on the net revenue per hectoliter performance side. I think that's one of the major contributors over and above the core pricing. And as Jean mentioned earlier today on the call, right, we've pretty much started the year where we wanted to be in terms of pricing. And so we count on this carryover to give us also a good tailwind going into 2022.
Unidentified Analyst: That's very clear, Lucas. Thanks very much.
Lucas Lira: Thank you for the question.
Operator: Our next question comes from Isabella Simonato, Bank of America.
Isabella Simonato: Thank you. Good afternoon, Jean, Lucas. Thank you for the call. My first question is on, on the volume performance, one more from a channel perspective, right? Both in Q4 and how you're seeing the beginning of the year, if we could give us a little bit more color on the performance between the on-premise and the off-premise in Brazil? The weakness that we saw in the industry, where will drive more concentrated and how using the pace right of the on-trade recovery throughout the next couple of quarters? That would be my first question. And the second question is its interesting you guys mentioned the SG&A relief, right for 2022. Any sense of magnitude or how should we think that versus inflation for the year? I think that could be helpful? Thank you.
Lucas Lira: You can take the first one. Now we'll take the first one on volumes, and then I'll answer the SG&A one.
Isabella Simonato: Okay.
Jean Jereissati: So Isabella, thank you very much for the question. So what we saw in Q4, it was a lot related with weather, that it was a very bad weather overall. So we saw this industry deceleration on that part. So impacting all the channels equally, and then we had Omicron that impacted more the on-trade again. So, we have been seeing structurally better come back of the on-trade, but then Omicron stopped that, and then we saw the impact on the on-trade again. But Q4, it was mainly pretty much about the weather overall. We believe that this on-trade coming back is more structural when Omicron goes, is really getting better. We've seen the on-trade overall reorganizing, transforming itself to do deliveries, to do takeaways. Of course, the occasion of gathering outside of home with friends, it is volatile. So it was getting better, it stopped. I think it will get back again. So I think throughout the year, this should be a positive as we've seen all over the previous year, overall, okay. So in terms of channel, we believe that the on-trade and traditional trade will continue to rebound during the year, and that was pretty much it.
Lucas Lira: And with respect to your question on SG&A, Isabella, few things here that I think are worth highlighting. I think number one, 2021 was a year where SG&A growth was heavily impacted by admin expenses going up and within admin expenses there were a few dynamics that we highlighted during our Q3 call. Number one, if you think of the growth of overhead, excluding our investments behind technology, right. The overhead growth was actually much milder and below inflation, okay. But since 2020, we've taken the deliberate decision to, right, over invest in technology to build the future, okay. And that had an impact on top of the variable comp. And as it relates to variable comp, I think it's fair to say that the variable comp accruals in 2021 were on the higher end of historical accruals given that the rebound in performance was much stronger than we expected, right, going into the year in 2021. So when we look at 2022, right, I think the [indiscernible] we think about SG&A is less growth on the SG&A side coming from admin because of lower variable comp accruals, right versus the level at which we accrued in 2021. We will continue to stay very, very disciplined around overhead growth, right, as we have historically been. And but we won't be shy about continuing to invest behind technology, okay. But all-in-all, a much better level of growth on the admin side as opposed to 2021, okay. Then when you go to sales and marketing, sales and marketing in 2021 was heavily impacted by the comparable base because in 2020 sales and marketing was at a much lower level as we adapted to COVID and right, we tightened the belt. So there was a tough base of comparison and that to a great extent, explains kind of the year-over-year growth, albeit below net revenue growth, okay, for the full-year. So sales and marketing, I think perhaps the best way to just to have a reference is to look at historical sales and marketing performance and use that as a reference, though we're not giving any specific guidance on sales and marketing for 2022. So I would look at historic levels, okay, as a reference. And then on the logistics side, I think the – one of the main impacts was the increase in initiatives like B2C, right. As Jean mentioned, that they bring the last mile distribution cost. We will still invest behind that expansion. So there's still some increase on the distribution cost side but nothing to flag here out of the kind of ordinary expansion of the business, okay. So all-in-all, SG&A growing less than it grew in 2021, given these different levers that I mentioned.
Isabella Simonato: That’s very clear. Thank you.
Operator: Our next question comes from Robert Ottenstein, Evercore.
Robert Ottenstein: Great. Thank you. Thank you very much. First, just a short detail question. Any update in terms of state or national taxes that impact beer in Brazil? And then my main question really is on how you're addressing total beverage alcohol opportunities in your key markets and particularly, spirits. How beer is doing versus spirits? Plans that you have to perhaps get into spirits or address Spirits occasions with more ready-to-drink products. You've done some of that in the past, but I'd like to get an update on where those initiatives are? Thank you.
Lucas Lira: Okay. I can take the first question on taxes, and then Jean can answer the second one on total beverage alcohol. On the tax front, Robert, there's no real update. I think just taking a step back, our view is that given how hard COVID hit our markets, we think that everybody needs to support recovery. And so in our view, the way forward is to invest behind the recovery of the on-trade for instance. And so to the extent there is further taxation that's going to increase the burden on the industry, increase the burden on the trade. We think that's not going to be constructive for the recovery of the industry as a whole, okay. But there's no real update since Q4 on the tax front.
Jean Jereissati: Robert, and let me get the second one. So thanks for the question on total beverage. Let me start with something that we don't talk that much. We have been building NABs across the board in Brazil, Argentina, Uruguay. And we are really excited about what we – the foundations that we built this year. So we have resilience on that side. We are gaining market share. Pepsi Black is really something that we are very excited about. The taste is really something that consumers are cheering with us. [indiscernible] is doing very well. So in and business it’s really helping for us to give more space for NABs. So this is the first thing. I think it will be a strong year for NAB across the board in our company, because we built – that was a year 2021 was a year that we built a lot of things to help NABs. Having said that, so we stepped changed the share of throat of beer in the previous, in 2020 and 2021, it was a step change. You've seen my volumes. Somehow we get it right, the innovation strategy and the affordability strategy on the mainstream on the core. So we stepped change share of throat, so our category is very resilient in Brazil, in Argentina, in Chile. In our major footprints, beer is really, as a category, really doing well. We are taking the lead on innovating on deciding the relative price on the basket. So we are very excited with that. Having said that, we just put in place a business unit to go to think about beyond beer. That is thinking about all the options that we have. So RTG is really something that we are starting. So with BEES in Brazil and Mike's, there is vodka soda that we piloted is doing very well. It's really something that we believe that will have traction in our major markets. And then this is pretty much the spirits occasion. And then we are studying everything and open on all the alcoholic beverage, but it's easy to say how we're going to move. So we put in place the capabilities. We hired ahead. We are studying deeply. RTG will move first, and we are studying the rest.
Robert Ottenstein: Thank you.
Operator: Our last question comes from Gustavo Troyano, Itau BBA.
Gustavo Troyano: Hi, Jean, Lucas. Hi everyone. I was wondering if you could explore a little bit more on the EBITDA guidance for 2022, especially trying to analyze the magnitude of the forecasted growth within different geographies. So it would be very helpful if you could help us navigate through a build-out maybe of the consolidated EBITDA growth across Ambev’s business units. So which regions could increase EBITDA ahead of the consolidated growth? Which ones could access headwinds for the consolidated growth to meet your EBITDA guidance? So when you collaborate to give us mainly focusing on your international operations and how we compare the Brazil Beer EBITDA outlook for 2022 would be very helpful? Thanks.
Lucas Lira: Okay. Thank you for the question, Gustavo. We're not going into that level of detail, but let me try to give you a good way to think about it. And one of the reasons why, when we project 2022 based on our plan kind of what are the reasons to believe that we're going to work towards delivering more than the 10.9% organic EBITDA growth for Ambev at the consolidated level. I think a good way to think about it is in 2021, we delivered the 10.9% organic growth year-over-year, with EBITDA decline, not only in Brazil Beer and EBITDA decline in Brazil NAB, whereas our international operations in LAS, CAC and Canada really made a difference in terms of allowing us to deliver this organic EBITDA growth despite all the FX and commodity headwinds that we faced across markets, we still managed to deliver good recovery and double-digit EBITDA growth. So when we look at 2022, we see, given the momentum and given that we're starting the year better prepared, we see a 2022 with Brazil bouncing back in terms of EBITDA growth. So just by having Brazil bouncing back and growing EBITDA after three years of decline, and given the size and importance of Brazil, not only Beer, but also NAB, to the overall company, that gives us confidence that we can deliver this improved performance and growth level for 2022. I think that's the main difference. It's Brazil bouncing back and growing EBITDA in organic terms.
Jean Jereissati: And to add on that, Gustavo, Central America and Caribbean has been a clock, has been some steady. Canada, too, it has been easy to predict. LAS, we are doing very well, so the core plus strategy is really working. Chile is really something that we are accelerating. Paraguay is doing very well. Argentina, too. So in the end, NABs is what I mentioned, somehow we don't talk that much, but I think it will have a strong year. And then we have Brazil turning.
Gustavo Troyano: That's clear. Thank you.
Operator: Thank you. The Q&A session is now closed. Now I would like to turn the floor back to Mr. Jean Jereissati for final remarks.
Jean Jereissati: So thank you very much. Thank all analysts, everyone who joined the call for your time and attention. 2021 was a great year in our journey. We are transforming our business. The milestones that we accomplished, it was something that we are very proud of. Q4, we consolidated a whole new level of volumes. We are structurally better prepared to 2022. We know that 2022 will have its challenges, but we are confident on delivering consolidated organic EBITDA growth in 2022 ahead of our 2021 performance. So thank you very much for everybody for the call. I see you in May, and have a great day.
Operator: Ambev, thanks everyone, for participating in today's event. The conference call is concluded. Have a nice day.